Operator: Good day, ladies and gentlemen, and welcome to the fourth quarter 2008 Arbor Realty Trust earnings conference call. My name is Kamisha and I will be your operator for today. At this time, all participants are in listen-only mode. We will conduct a question-and-answer session towards the end of this conference. (Operator instructions) As a reminder, this conference is being recorded for replay purposes. I will now like to turn the call over to your host for today’s call, Mr. Paul Elenio, Chief Financial Officer. Please proceed sir.
Paul Elenio: Okay. Thank you, Kamisha. Good morning everyone and welcome to the quarterly earnings call for Arbor Realty Trust. This morning we’ll discuss the results for the quarter and year ended December 31, 2008. With me on the call today is Ivan Kaufman, our President and Chief Executive Officer. Before we begin, I need to inform you that statements made in this earnings call may be deemed forward-looking statements that are subject to risk and uncertainties including information about possible or assumed future results of our business, financial condition, liquidity, results of operations, plans, and objectives. These statements are based on our beliefs, assumptions, and expectations of future performance, taking into account the information currently available to us. Factors that could cause actual results to differ materially from Arbor’s expectations in these forward-looking statements are detailed in our SEC reports. Listeners are cautioned not to place undue reliance on these forward-looking statements, which speak only as of today. Arbor undertakes no obligation to publicly update or revise these forward-looking statements to reflect events or circumstances after today or the occurrences of unanticipated events. And now that the Safe Harbor is behind us, I’d like to turn the call over to Arbor’s President and CEO, Ivan Kaufman.
Ivan Kaufman: Thank you Paul and good morning everyone. Thank you for joining us on today’s call. By now, I hope everyone has had a chance to review the fourth quarter earnings release that was issued earlier this morning. Paul will take you through the quarter’s results in a moment, but first I would like to spend some time talking about our view of the market and our strategy and approach going forward in this extremely difficult environment and then touch on some of our overall achievements in 2008 and how we close out the year. Clearly these are unprecedented times and the financial crisis continues to worsen with no signs of recovery in the immediate future. Companies in our space continue to face significant challenges. There is very little liquidity available and we believe there will be increases in delinquencies and defaults and will continue to see declining real estate values through 2009. And as we have said before, no one is immune to the effects of this market and this will likely result an additional losses towards our sector. We will continue to operate our business in the best possible way to successfully navigate through this extremely difficult cycle. Our main focus will be to retain and preserve as much liquidity as possible and aggressively manage our credit and financing sources. In this type of environment it is absolutely critical to have an experienced management team that will spend a 100% of its time focusing on these issues and I can’t say enough about our management teams effort commitment and expertise. We did have some notable accomplishments in 2008, however I would like to mention despite the major dislocation that occurred. We have been very focused on reducing our exposure to short-term debt by deleveraging our balance sheet, which is critical in this environment. In 2008, we significantly reduced our short-term debt by around 310 million through run off and by pro-actively moving our assets into our CDO vehicles. We were also able to extend two of our short-term facilities and immense certain others in 2008. We generated nearly 600 million of run off in our portfolio in 2008 as well despite the clear lack of liquidity available to our borrowers. We also refinanced the modifying loans enhancing our yields. This continues to be a significant focus in 2009, which will continue to generate liquidity and reduce our exposure to short-term debt. Another significant achievement was our ability to increase our overall net interest income on core investments in 2008 despite the significant decline in interest rates. This was from as I mentioned refinancing and modifying loans, deleveraging the balance sheet and from having a significant amount of our portfolio protected with LIBOR floors and fixed rates, while majority our debt is floating. We also were successful in monetizing some of our equity takers despite a difficult environment in 2008. We received almost $35 million in cash and recorded $1.7 million in income from these investments. As we said before these equity kickers are key part of our model and we have generated around $250 million in cash from the monetization of these investments since 2004, which has contributed greatly to our capital base. I would now like to spend some time focusing on how we closed out 2008 before turning it over to Paul to take you through the financial results. Clearly liquidity continues to be the primary concern and focus for our sector. As you can see from our balance sheet at December 31, our operating cash was reduced greatly from last quarter due to having posted around $30 million more in cash collateral from a significant decline in the value of our interest rate swaps. I will point out that these changes in value are temporary and these swaps will return to par by their maturity, but as of 12/31/08, we had almost $55 million in cash posted against them. This also resulted in the manager [ph] lending $4.2 million to the REIT as of 12/31. However since then these swaps have started to come back in value and where we covered some of that cash and repaid the loan to the manger in full. So, currently we have $12 million in operating cash and around $60 million in cash available in our CDOs, as well as $40 million in cash posted against our swaps, which as I mentioned will come back to us by their maturities. We are working extremely hard to preserve and maximize liquidity wherever possible, which is clearly one of the keys to successfully managing through the significant downturn. We will continue to look to improve our liquidity by working aggressively with our borrowers to repay their loans and by being very selective when modifying and refinancing loans, as well as deploying capital into new investments. In fact in the fourth quarter, we are able to produce a $130 million of run off, while originating only $6 million of new investments. We also refinanced and modified a $130 million of loans and extended $19 million of loans in accordance with their extension options. It will be very tough to accurately predict repayments in this environment, but our best guess continues to be in a range of around $50 million to $150 million of run off in each of the next few quarters. We also continue to manage our funding sources aggressively significantly reducing our exposure to short-term debt through run off and by proactively moving our assets into our CDO vehicles. We reduced our short-term debt by $117 million during the fourth quarter and by another $25 million already in the first quarter of ’09. This continued deleveraging of our portfolio is absolutely critical in this environment. Additionally as previously disclosed, we were successful in extending one of our warehouse facilities during the quarter to November 2009. So, currently we are now down to around $500 million of short-term debt, $300 million our term debt facilities most of which have automatic extension features until November 2010 and another $17 million will be around until at least late 2009. And with $275 million of trust preferred securities $1.2 billion in CDO debt and $300 million in term debt facilities we now have around 94% of our committed debt non mark-to-market as it relates to interest rate spreads. Now I would like to spend some time updating on our credit. As you can see from our press release we recorded a $124 million on loan losses during the fourth quarter. These reserves related to fixed loans with an outstanding balance of approximately $330 million. We now have a $130 million in loan loss reserves related ten assets with an outstanding balance totaling approximately $440 million as of December 31st. I would like to talk about two of the larger reserves as they relate assets we have been watching and talking about for a while. The first is related to our ESH investment. Clearly this has been an investment we have well monitored in closely. There has been a significant continued reduction in RevPAR and talk of potential restructuring of the company. Based on these factors we felt it was prudent to reserve against system investment to a point where we are not relying on cash flow related to the operations of ESH portfolio to pay us off. So, we rode up investment down by $83 million to a $30 million value during the quarter. We believe this is the amount of cash flow, we will receive from the remaining life of the investment from the interest reserves and other features associated with this investment. We have replied all cash received in the fourth quarter against this investment and we will continue to do so until we have recovered our remaining investment. I do want to point out that even though we have substantially reserved against this asset, we will continue to work very hard to preserve and maximize as much value as we can from this investment. The second reserve relates to the 303 East 51st Street Project. As previously disclosed we started a foreclosure process on an aggressively pursuing, obtaining the fee interest and the property. However, given the issues surrounding this project combined with the recent decline in the market, we thought it was appropriate to reduce the carrying value of this asset by $15 million toward $55 million value as of 12/31. We will continue to work aggressively with our outside advisors to project the integrity and value of this asset and monetize the value, as quickly as possible. The remaining $26 million of loan loss reserves for the quarter relate to four assets, two of which we recorded reserves on last quarter. These reserves were based on the value of operating status of these properties. There is very little liquidity available and bars are having extremely difficult times securing new financing. No one is immune to this market and we continue to operate our business expecting the worst. As I said before we are expecting an increase in loan default and delinquencies. This will likely result and continued stress on some of our assets and could result in additional losses. However, predicting the amounts and timing will be very difficult. We still believe that a significant portion of our portfolio consists of high quality real-estate and is backed good sponsorship. However, given the environment we remain extremely focused on managing our portfolio with the goal of minimizing losses and resolving issues quickly. In summary, these continue to be very difficult times and maybe the worst of operating environments. Our management team has worked extremely hard and I believe has the experienced employees to face the significant challenges that lie ahead. We continue to focus heavily on the key significant areas, which again our liquidity, capital retention, reducing our short-term borrowers and aggressively managing our legacy issues and credit facilities. Achieving success in these areas will be the key for us to manage through this environment. I will now turn the call over to Paul to take you through some of the financial results.
Paul Elenio: Thank you Ivan as noted in the press release we had a loss for the fourth quarter of $4.30 per share and an FFO loss of $4.28 per diluted common share. Clearly this loss was predominantly due to as Ivan spoke about in more detail recording a $124 million of loan loss reserves on certain assets in our portfolio during the quarter. We now have $130.5 million of loan loss reserves on ten loans with an unpaid principal balance of around $440 million at December 31, 2008. As we said before no one is immune to the effects of this market and will continue to take a proactive approach in evaluating our portfolio, recording reserves where we think it is appropriate and remain aggressive in managing our assets. GAAP also required us to write-down our equity investment in the CBRE stock during the quarter by another $3.4 million to $0.18 per share, which was that stocks closing price on December 31, 2008. And we also wrote down one of the CDO bonds we bought from another issuer by $1.4 million during the quarter as well. In addition, the fourth quarter included a $4.2 million reduction in interest expense for a change in the market value of certain interest rate swaps, which GAAP requires us to flow through our earnings. These swaps effectively swap our assets in our CDOs, which pay based on one month LIBOR and our CDO debt, which is based on three month LIBOR. The large increase in the market value of these swaps was due to a change in the market outlook on interest rates and spreads as of December 31, 2008. The value of these swaps will eventually decline with turnings apart to maturity of other trades, but there have been significant changes lately related to the outlook for interest rates resulting in large swings in value. In fact as of yesterday, these values have declined by approximately $1.2 million, which will increase interest expense in the first quarter of 2009. If the market outlook for recent spreads continue to fluctuate greatly these trades could produce significant changes in value, which could increase or decrease our earnings going forward. We also recorded a $900,000 loss during the quarter from our equity interest in the Alpine Meadows Ski Resort, including $225,000 of depreciation expense. As we mentioned several times, this business is seasonal and is not part of our core operations. And therefore there will be fluctuations in our earnings related to this investment as there are losses in the summer months and income in the winter months. We are estimating that we will have income in the range of $2 million to $3 million for the first quarter of 2009, but believe our share of the operations for a full-year going forward will be about break even, including depreciation expense. As noted in the press release we did have some activity related to two our equity kickers during the fourth quarter. We received $415,000 from the monetization of our 8.7% equity interest in New York Avenue through a sale of the property and received cash distributions of $967,000 from operations on or 24.17% interest in prime. This resulted in the recognition of $1.4 million of income for the fourth quarter. Clearly our equity kickers have been a key component of our business model and we have generated approximately $250 million in cash in these investments to date, which is contributing greatly to our liquidity and capital days. So, if you would add back these items that I just mentioned our adjusted core EPS would have been around $0.47 per share for the fourth quarter compared to around $0.59 per share for the third quarter adjusting for similar items. This decrease was predominantly due to our ESH investment, which Ivan elaborated on earlier. I would now like to take you through the rest of the results for the quarter. First, our average balance in core investments declined about $100 million from last quarter, mainly due to our net run off in the fourth quarter. The yield for the quarter on these core investments was around 7.08% compared to 7.82% for the prior quarter. Without the acceleration of fees, the yield in these core assets was around 7% for the fourth quarter and around 7.62% for the third quarter. This decrease was primarily due to a recoding the fourth quarter dividend payment received on our ESH investment as a reduction of the principal balance, rather than interest income and from some of our non-accrual crude loans. This was partially offset by an increase in yield in our portfolio from refinanced and modified loans. We did also benefit from a slight increase in the average LIBOR rate on the portfolio during the quarter despite an overall decrease in LIBOR, due to the timing of certain reset dates on our loans. Additionally, the weighted average all in yield on our portfolio was around 6.33% at December 31, 2008 compared to 8.03% at September 30, 2008. This decrease was primarily due to the reallocation of the payment related to our ESH investment and around a 350 basis point decrease in LIBOR that are comparable dates. This decrease in LIBOR was partially offset of a fixed-rate loans and loans with LIBOR floors above the December 31 rate representing approximately 70% of our portfolio. The average balance on our debt facilities decreased by around $190 million from last quarter, which was more than the decrease in our core investments. As Ivan mentioned, this was primarily due to our continued focus on reducing our exposure to short-term debt by moving loans out of our warehouse and term debt facilities into our CDO vehicles. The average cost of funds in our debt facilities was approximately 4.10% for the fourth quarter compared to 5.14% for the third quarter. Excluding the unusual impact on interest expense from our swaps, our average cost of funds was approximately 4.94% for the fourth quarter compared to around 5.10% for the third quarter. This reduction was primarily due to the decline in the average LIBOR rate during the quarter. In addition, our estimated all in debt cost was around 3.80% at December 31, 2008 down from 6% at the September 30, 2008, due to the significant decrease in LIBOR related to 55% of our debt that is floating. This 3.8% estimate does not include any increases to interest expense from our interest rate swaps, which as I noted earlier would increase interest expense by approximately $1.2 million in the first quarter based on market values as of yesterday. So overall, the fourth quarter normalized net interest spreads on our core assets decreased to about 2.06% from around 2.52%, mainly due to the ESH investment and some non-accrual loans, partially offset by increased spreads from refinance to modified loans as well as loans with LIBOR floors above the average LIBOR rate for the quarter. Next, our average leverage ratios were around 72% on our core assets and around 84% including the trust preferred as debt for the fourth quarter down from 74% and 85% for the third quarter. This reflects the continued delivering of our balance sheet to run off and moving assets into our CDOs. Our overall leverage ratio on a spot basis increased to around 3.2 to 1 for the fourth quarter from 2.5 to 1 for the third quarter, primarily due to loan loss reserves and a significant decline in the value of our interest rate swaps during the fourth quarter. This was partially offset by a reduction in our outstanding debt from run off and moving assets into our CDOs during the quarter. There are some changes in the balance sheet compared to last quarter that are worth noting. Cash and cash equivalents decreased $22 million from last quarter, largely due to the cash that posted and declined the market value of our interest rate swaps. This also accounts for significant amount of the increase during the quarter in other assets. Notes payable in repurchase agreements decrease a 117 million during the quarter, primarily due to our strategy of reducing short-term debt to loan payoffs and moving assets into our CDO vehicles and restricted cash related to our CDOs increased $25 million on a spot basis mainly due to a run off in our CDOs during the fourth quarter. In addition, other comprehensive losses increased by about $64 million for the quarter, this again was primarily due to a significant decline in the market value of our interest rates swaps from a change in the outlook on interest rates. This also makes up a majority of the increase during the quarter in other liabilities. GAAP requires us to flow the changes in value of certain interest swaps through our equity section, which to date has reduced our book-value by almost $4 per share. Our book value per share was $11.18 as of December 31, 2008 and adding back these unrealized losses on our interest rate swaps, and deferred gains from our equity kickers our adjusted book value per share was $17.33 at December 31, 2008. And lastly our portfolio statistics showed that at December 31, about 65% of our portfolio is variable rate loans and 35% was fixed. By product type, about 62% was bridged, 13% junior participation, and 25% was mezzanine and preferred equity. By asset class 36% is multifamily, 25% is office, 17% hotel, 11% land, and 4% condo. Our loan-to-value was around 80% and our weighted average median dollars outstanding was 57% and our portfolio with an average duration of around 32 months. Our debt service coverage ratio was around 147 this quarter and geographically, we have around 40% of our portfolio concentrated in New York City. With that, I’ll turn it back to the operator and we’ll be happy to answer any questions you may have at this time.
Operator: (Operator instructions) And your first question comes from the line of David Fick from Stifel Nicolaus & Co. Please proceed.
David Fick – Stifel Nicolaus & Co.: Good morning gentleman.
Paul Elenio: Good morning David.
David Fick – Stifel Nicolaus & Co.: Ivan can you address the source of funding for the roll-offs that you experienced last quarter as well as your anticipated roll-offs for 2009?
Ivan Kaufman: I will address some of it and Paul will address some of the others. We do have some concentration of multifamily and it continues to be liquidity in the multifamily market due to Fannie Mae, Freddie Mac, and FHA. We are projecting that some of the future run offs are going to come from reefing some of the loans in our portfolio that are eligible for those programs.
Paul Elenio: David it is Paul. That was going forward. For the fourth quarter, we did have, like we said 130 million of run off and pay downs around a 100 million of that came from actually new equity that was funded into deals which was able to take us out. 20 million was a refinance that a borrower was able to get done and the other 10 million were partial pay downs on loans from equity being kicked in from the borrowers during the quarter.
David Fick – Stifel Nicolaus & Co.: Okay that gets to my second question and that is you are re-underwriting on your extensions, obviously that is where you are focusing a lot of your time right now, but what are you looking for is – are you insisting on new equity or are readjusting LTVs and what kind of new spreads are you looking at?
Ivan Kaufman: I think every single transaction is into its own and clearly what we are looking to make sure is what these declining values that would protect the integrity of the value of that asset and to the extent that we can alter the terms and bring in additional equity and secure better asset we will, but every circumstance is different. So, we are actively looking to manage down the debt we have in exchange for new equity and in certain circumstances, if we can get it paid down we can give some concessions on interest rates if it is appropriate. So, every circumstance is to really evaluate how we can put our asset into a better form going forward with a lack of liquidity and declining values.
David Fick – Stifel Nicolaus & Co.: Okay and my last question is the hardest one and that gets to accountability for ESH, this investment has caused you roughly half the cumulative value of all of your equity kickers to date and obviously a failure under lighting and I am just wondering how you look at accountability for this underwriting loss.
Ivan Kaufman: I mean I guess for us it was an outside investment, we had. It is syndicated out prior to closing and with the market collapse we lost a lot of our syndicated partners. We had originally intended to take around $40 million of the investment and we had our syndicates backed out and I guess that was the market timing issue and a like of execution and number one, I will look at the extended stay investment when it is all over and it is far from being over, we are working very hard on recovery keep in mind collected come June around 20% of the principle value in dividends. So when it is all over in a year for now, we will see what the ultimate damage in collection is, but we are far from being finished with our efforts to recover our investment.
David Fick – Stifel Nicolaus & Co.: Okay, thank you.
Operator: And your next question comes from the line of David Chiaverini from BMO Capital Markets. Please proceed.
David Chiaverini – BMO Capital Markets: Good morning guys couple of questions, which part of our your portfolio are you seeing the most stress and where do you anticipate the most stress going forward in terms of asset classes, is it multifamily office, could you talk about that a little bit?
Ivan Kaufman: I would say it is across the board. You know it really, clearly hospitality is an issue because you are having a significant drop in RevPAR, land has been significantly impacted, but I think that stress will all across the spectrum, one of the things that it effected a lot of our deals is the lack of liquidity that borrowers themselves have. Once borrowers who had tremendous network and liquidity they are seeing their liquidity tap as their banking system is really squeezing down on everybody and taking their liquidity. So, I wouldn’t say it is any specific areas, it is spread across every assets class and every borrower.
David Chiaverini – BMO Capital Markets: And regarding your liquidity position, how confident are you that you will be able to meet your liquidity needs this year, I know that you have that facility that is coming to you I believe in June and there is just a small balance remaining on that, but what about later this year? How do you plan on meeting that net obligation?
Ivan Kaufman: Well we are accurately with our lenders and as all of you know a lot of our lenders have either been taken over going out of business and handicapped us a little bit in the sense that we haven’t had anybody to talk to, but we are very confident now that Wachovia is in new hands and there is new management that we can actively work with them to continue to amend those facilities to reflect what’s appropriate in these times. Keep in mind that they have worked with us even despite the fact that they have gone through a take over and all indications are that they will continue to work with us and move forward. With respect to the other facilities we have with the other institutions they are not large facilities they are all pretty small and all indications are is that move forward and work with us. In terms of overall liquidity, clearly liquidity is an issue and we will watch that and monitor that very carefully. You know keep in mind that we do have a number of unencumbered assets, which are going through the foreclosure process and when we are done through that foreclosure process hopefully that will be another source of liquidity that will help assist us through 2009 and through 2010.
David Chiaverini – BMO Capital Markets: Okay. And on that note of going through the foreclosure processing, you mentioned that you are anticipating more delinquencies and defaults, when you do foreclose on a property, do you plan on holding it and operating it and taking advantage of that income or do you plan on selling those properties?
Ivan Kaufman: We think every circumstance is different if that is an asset that is in shape and readily mark able and we can maximize our value by selling it and retrieve the cash that is certainly something that we will consider. In other circumstances if the asset needs to be brought up to speed we have the capability to improve that asset and get it in better form, and in other circumstances we have a lot of operating partners who still have cash and we would consider joint ventures as well. So, we are pretty flexible with the eye towards liquidity and maximizing value.
David Chiaverini – BMO Capital Markets: Okay. And my last question is just do you have a rough estimate as to how many of your loans you have modified over the past say three to six months?
Paul Elenio: Sure. Dave, it is Paul. We’ve modified for the year around 350 million of products. Over the last two quarters we did and a 130 million this quarter and similar number last quarter. And I even said we are very careful on which loans we refinance and modify putting these loans in the best shape we can put them in for ourselves and for the borrowers, but 350 was the year-to-date number on what we refinanced and modified about 120 each quarter.
David Chiaverini – BMO Capital Markets: Okay, thanks guys.
Operator: (Operator instructions) And your next question comes from the line of James Shanahan from Wachovia. Please proceed.
James Shanahan – Wachovia Securities: Thank you good morning. Are there any liquidity needs or potential covenant issues within your CDOs that you are monitoring or might be required to address at any point during 2009?
Paul Elenio: Gene Kilgore, are you on the phone?
Gene Kilgore: Sure, yes.
Paul Elenio: Jim, we have Gene Kilgore, our Senior Vice President of Securitization, for the CDOs and I think I will let him answer that question.
Gene Kilgore: Sure. Hi, Jim.
James Shanahan – Wachovia Securities: Hi, Gene.
Gene Kilgore: We are currently passing all coverage test and all of our CDOs. We always have done so, we’ve never not [ph] passed a coverage test. We currently have cushions in each of our tests. I would also just highlight that on our first two CDOs, we have three CDOs, on our first two, we actually structured one or two fairly novel features, which has provided even more cushion to our coverage test overtime during the reinvestment period because they have a turbo feature, which actually reduces some of the debt, which provides more cushion to the equity. So, we feel we designed a vehicle to have maximum flexibility. So, I think that is the good news, I mean to the extent that there is rapid asset deterioration, clearly that’s something is – Ivan or Paul pointed out, we are not immune to, but we are currently passing and we do have cushion in all of those tests.
James Shanahan – Wachovia Securities: Okay and as a follow-up, I am interested, I have been hearing in the marketplace that the value of your outstanding CDO debt is trading at pretty weak levels is there anything changed to the extend with regard some liquidity were to be available in the marketplace is there any interest internally in buying in back any of your CDO response?
Gene Kilgore: Clearly Jim the decline in asset values that we have is certainly difficult in this environment and that’s something everybody is suffering. I think the opportunity if you have liquidity is that you could actually buy back your debt at deeper discounts than your assets are falling. So, there is a natural arbitrage that they exist. And with the change in tax flows that was just passed and Paul can go through on that little bit more detail, is very advantageous that did so. We do feel that our CDO value is not trust preferred, but it will continue to decline and there is no rush to buy that back and there are not a lot of buyers for it. So, that is something that is available that is out there and it is a way for us to significantly offset our losses and clearly having liquidity can give us that opportunity at the appropriate time.
Paul Elenio: And Jim as Ivan referred to the tax ramification there I think it was passed yesterday, it was supposed to I don’t know if it actually got done with part of the stimulus package, as I am sure you have seen is that there is a pretty big tax relief on buying back your own debt, if you buyback you qualify debt, CDO, and trust preferred securities. In 2009 and in 2010 you get to an elected deferral of any tax related to that forgiveness of debt that’s how the tax rules work, until 2014, so you get five year tax deferral and then you can bring that tax liability in over the remaining five years, 2014 to 2019. So, pretty big incentive for people who are out there to have liquidity to buy back their debt at deep discounts because you also don’t have the tax burden right now. That is normally associated with that.
James Shanahan – Wachovia Securities: Thank you.
Operator: At this time, there are no questions in queue. I would now turn the call back over to management for closing remarks.
Ivan Kaufman: Okay. Thanks for taking the time to – for the call today. We all know it is a very stressful and difficult environment. Our management team is extremely focused on navigating through these difficult time and we appreciate your support, thank you.
Operator: Thank you for your participation in today’s conference. This concludes your presentation. You may now disconnect and have a wonderful day.